Niël Pretorius: Good morning, everybody, and thank you very much for taking the time to attend our results presentation for the year ended the 30th of June 2019, certainly been an eventful year. And it looks as though there's going to be more eventful months and quarters and years going forward. While you have a look at the disclaimer, focus, obviously, in this presentation will be to give you some insight into the production patterns at our established operations at Ergo, some of the considerations which we took into account at the time when we did the Far West transaction with Sibanye Gold or Sibanye-Stillwater, also what's happened there and where we want to be going over the foreseeable future. Just looking at our key features for the quarter. You'll see that -- for the year, rather, my apologies, see that it has, in fact, been a very, very good year for us. And if you look at the letter to shareholders, what we tried to do there is just pointed out to some of the challenges, some of the headwinds that the industry experienced this year. It was a year that was probably more challenging than, well, any of the previous years. There were some very significant disruptive labor action in the mining industry. Eskom took us completely by surprise late last year and early this year when it became apparent that they were lost, that they had a lot of things to get away from them. And they had to put in some recovery plans. What we started seeing increasingly was not just social activism, which is a constant, but also community unrest and more and more challenges. And in that regard, especially here in the city areas, these are trends that have been emerging over time, and they've become very apparent in the last year. And as a consequence, I think these results are just all that more pleasing. The fact that our business have been positioned in such a way that can take these challenges hit on, that it can absorb them and that it can come up with a set of results, which is not consistent with what we've been seeing in the industry. Remember, this -- your cutoff here is the end of June, that's before we saw this very significant rally in the gold price. So much of what we're seeing here really is the events, things, circumstances and the realities of 2018, 2019, yes. So the revenue line, the ZAR 2.7 billion, an 11% increase, that obviously is encouraging. And we saw a very significant contribution from Ergo, and then I'll talk a little bit about Ergo later on, and also the Far West operations slowly but surely coming in. A very nice increase there in operating profit. Production just under 5 tons, 23 kilos shy of 5 tons. And I think we need to maybe also, right at the end, we'll reflect a little bit on just the significance and why I talk about production in 5 tons. And when you take the gold price now, which is ZAR 150,000, ZAR 160,000 per kilo up on where it was on average for this year, and you multiply that by the number of tons just to see what sort of impact that could have on revenue. And maybe [indiscernible] will take that into consideration. And maybe it's just because of the very sudden rise in gold price there. We are thinking solace to catch up with that. Headline earnings were positive, and there are a number of both long-term events, long-term outcomes that found its way into these earnings, but also the operational and financial results of the last year that you found in that. We really thought at the beginning of last year that what worth having to fund and develop the Far West operations, ZAR 330 million-odd of capital that needed to go into that. And we don't really want to pay dividends if we have debt, where we thought that maybe this 12th consecutive year of dividend payment was under threat, and maybe this year's dividend was just going to be a token dividend, just do not have an interruption in their dividend trend. And I think we're very pleased that we saw a threefold increase in dividend this year, notwithstanding the fact that there are 265 million shares -- more shares out there following the transaction of Sibanye. If you see our all-in sustaining margin, they're bumping against double digits. The capital expenditure into Far West operations, we talk about the loan funding, the drawdown of ZAR 192 million in that regard, all of which has been repaid. So we're not borrowing money to pay dividend. We've got quite a bit of money in the bank as it is. And then some of the highlights also in terms of the sustainable development aspect and the social, capital aspect and transformational aspect, which we take very seriously, and which is very much at the core of our thinking in deciding how to deploy our resources and capital. So looking at the operating trends, I'm just going to go through that quite quickly. This is on a consolidated basis. You can see how volume for the last 6 months was up by more than 1 million tons to 13 million tons. The yield, the combined yield, now north of 0.20 gram a ton. And also production for the 3 months, 2.69 tons of gold for the 6 months. You add to that the 2,280 the previous 6 months, and that takes you to your just under 5 tons of gold. And then looking at the 2 operating units. So the Ergo operating results. Now here's a business -- Ergo is a business where we're talking ultra volume and almost nano extraction. So you first match tons, as you possibly can, into this plant and then you take out between 180 and 190 parts per billion. It's like putting the entire African population, the entire population of Africa through a process and selecting only 190 people out of this entire population. That gives you an indication of the sensitivity of this process. And I think the fact that it could show these results up on kilos, up on yield, notwithstanding the fact that there was a drop in volume. Volume being one of the most profound impacts on the output of this plant, there's nothing short of remarkable. And testimony to systems that have been put in very careful management of throughput, making sure that we get the mix right. And then something that I think we don't often -- we don't talk about often enough is the fact that, notwithstanding the fact that we could supplement volume from different sites because Ergo has very significant optionality. It's mining from 5, sometimes 6 different sites. So notwithstanding the fact that we can supplement volume from different sites, we don't. We very carefully manage our mix, our throughput mix. So if one site is off because of whatever, it could be cable fit, it could be anything. And we're very careful not to over supplement from other sites. And then in the long term, bring about a distortion in volume throughput where you've overmined certain sites that might be slightly less challenging and undermine certain other sites. It's a situation that we had several years ago when we were cleaning up sites in the Far West Rand. And we saw the impact and direct costs of that, ZAR 77 million in 1 year, and that's not counting the impact that it had just on the rest of the -- of our throughput and our production profile. So this is something that we work on to make sure that we don't create some of the legacies going forward. And we have better optionality than I think some of the optionalities many, many years ago. These sets are numbers -- this set of numbers, considering the situation that we had in the Johannesburg area, where there comes wet weather and with the disruption in the form of infrastructure interferences and so forth due to crime is a very, very pleasing set of results from Ergo. It bodes well for the future. Then in terms of Far West Gold operations. Now this is the new one in the business. And there you could see, firstly, the 140 kilos in the previous 6 months that was from the Driefontein 3 plant, that was remnant cleanup and material that was been tracting, that's come to an end. And this is now a business which is focused solely on the reprocessing of slime. You could see just under 2 million tons coming through there and yield stabilizing at 0.228. And production for the second half of the year at ZAR 440 per kilo. Riaan will take you through the financial results, and you'll see what the costs are of producing those, now that the circuit is increasingly finding its way into a stable state. And that could give you a good indicational platform for basing your further assumptions on. So Riaan, I'd like to hand over to you now for the financial review.
Riaan Davel: Thank you very much, Niël. Good morning, ladies and gentlemen, from my side, and thank you, Niël, for always providing the context through the operational update of what the financial review looks like. And yes, it is extremely pleasing results that it is my privilege to present this morning. I'm just taking what -- where Niël ended off with Ergo and Far West and taking those production numbers, volume yield gold into financial results. So year-on-year, you would see that the revenue increased by 3% in the last 6 months. That increase was closer to 9% whereof assisted by the gold price increase of about 8% and production of 1%. So very, very pleasing revenue results. And as I want to emphasize a couple of times what Niël has said just about the resilience of Ergo as a business. Cash operating costs, up 7% year-on-year. In the last 6 months to 6 months, up 4% and very much focused on looking at higher-grade material for the sand mills at Ergo and also at Knights, so which resulted in the increase in yield for that 6 months period of 6%. Then on the operating profit side, year-on-year, yes, there was a 20% decrease, but up 50% in the last 6 months. And just actually amazing what Ergo has done, the resilience of the business has shown. And I believe a very big part of the success, early success that we've seen at Far West is have Ergo as a mother ship, the knowledge and systems that Niël referred to and we've implemented there, we could very quickly going to implement. The number of data points, [Yaqoob] mentions to me, but it always boggles my mind that we look at on a continuous basis and trying to improve. And then for me the substantial contribution Ergo as a business makes to the local economy. Remember, it's more than ZAR 2.5 billion of revenue from material that someone has thrown away, that's injected right into the [indiscernible] economy. And that helps us to deliver a substantial contribution, both on societal and environmental benefits as part of our business model. So very pleasing results, taking into account the challenges that Niël referred to. The new kid on the block, Far West Gold Recoveries. Yes, as Niël alluded to, the first half results was DP3. But again, we very cleverly put in place Kevin and his team there to reduce costs, while we were building Phase 1 of Far West Gold Recoveries. The intention was never, as a stand-alone business, to make money out of it but it reduced our costs -- as from our holding costs and a building perspective tremendously. And then what Niël referred to, as the production results in tons for Far West was already from the early stage commissioning in December 2018 as a cumulative up until 30 June. We obviously have the financial result since hitting the income statement only kicked into effect on the 1st of April, where IFRS determined that's the date of commercial production, where pre-production, expenditure stops being capitalized through the asset and the income statement starts. So these financial results, literally, only reflects Far West Gold Recoveries for the last 3 months of the financial year. So revenue contribution in that period of ZAR 165.1 million with cash operating cost of ZAR 78 million, leaving it with a very healthy operating profit of just under ZAR 100 million. So again, just to give you an indication at this point what that operation can do, they'll refer to the overall yield in its production, obviously take into account that it was a ramp-up stage from the date of early commissioning the yield for the last 3 months as presented in the operating results at 0.261 grams per ton. So it's really looking positive and the margins at Far West making a huge difference. Then combining both Ergo and Far West in group financial trends. Year-on-year, the operating margin that decreased slightly from 14.3% to 13.5% but again zooming in on the last 6 months, if the gold price up by 8%, the resilience of the Ergo operation and Far West making contribution for 3 months, upping that operating margin with its high-yield production to almost 18%. All-in sustaining costs. Year-on-year, quite a nice increase from 5.5% in the previous year to 9.1% and very healthy. In the second 6 months, obviously, the gold price towards the end of that 6 months assisted slightly and mainly was a big credit to the income statement as a result of a decrease in our rehabilitation obligation and very much testably doing our environmental strategy that I believe is working, specifically, a strategy to reduce the use of potable water and that impact, some of that related to our Crown Complex, which we don't carry an asset for in the books. So that credit sets in the income statement. And the way the calculation is done also reduces the all-in sustaining costs, and as a result, the all-in sustaining cost margin. Free cash flow. Again, confirming a tale of 2 halves or a financial year, very much the first half in building mode. So up until December, we spent the majority of our growth capital. Let me refer to the ZAR 330 million on Far West Gold Phase 1. And obviously, at that point, was quite a tough first half for Ergo as well with various challenges that Niël referred to. And then, yes, the second 6 months of the financial year, quite an impressive number, almost ZAR 250 million generated in free cash flow. And another environmental funds or payment, funds received from our cell captive of ZAR 55 million also included in there. And again, reflecting the responsible and strategic way that we manage our environmental liabilities and which we will continue to do. Headline earnings very much follows that ZAR 60 million credit in the income statement and also reflecting the resilient performance of Ergo and the new kid on the block, Far West, for the last 3 months. So very, very pleasing financial trends. In my report on the statement of profit or loss. So overall, revenue increased by 11% year-on-year, although contributing 3% of that increase and obviously all the revenue from Far West is new in the 2019 financial year. Cost of sales overall increased by 9%, leaving us of gross profit from operating activities at ZAR 208.2 million, up 45% year-on-year. Other income, a big number, but let me just pause there for a moment to remind you the net effect of our ceiling and floor, the relative instrument that we announced this time last year to the market, 50,000 ounces over 9 months. The net result of that instrument, ZAR 565,000 to ZAR 609,000 in kilogram was a gain for us of ZAR 2.1 million. And just to confirm, at this point, we have -- we don't have any derivatives in place. So we do benefit fully, as Niël alluded to it, to this high gold price that you are seeing at the moment. And then the other portion, about ZAR 5.8 million relating to the sale of ERPM rights. Administration expenses and other costs stable year-on-year but also increases -- includes an increase in our long-term incentive liability as a result mainly of an increase in our share price. Finance income and expense, always looks like big numbers. You'll see on the cash flow, again, only a small portion of that in cash. Finance income, the majority of that comes from our investments in rehabilitation funds, also bought ZAR360 million of rehab funds from the Sibanye transaction. So that's all the interest are the returns on those investments and finance explains -- the majority of that relates to the unwinding of the rehabilitation liability year-on-year between interest costs on those liabilities that also eats the income statement. The cash impact of that quite small. In CapEx. As I was explaining to Mr. [indiscernible], the better you do, the higher that rides and possibly the more tax you pay. And that was a result of this year as well as of -- a result of more profitable operations that we're forecasting for Ergo. The deferred tax rate based on the gold formula was increased to 22%. So that will result in a increase in deferred tax. But again, a substantial increase on bottom line profit from ZAR 6.5 million to ZAR 78.5 million for the year. If I may pause quite a bit on the statement of financial position or if it balances, you can also refer to it as a balance sheet, which I see it does, it's good. And yes, for me, this is a really satisfying balance sheet position, which I just want to briefly talk you through and then also use this as a discussion for what I see into the future. So property, plant and equipment. So as we mentioned, ZAR 1.2 billion of assets, both from Sibanye-Stillwater in net transaction effective 1 August last year and then also the ZAR 330 million paid on the Far West Phase 1. It's included the -- and obviously, depreciation from 1 April on that balance. Same with Ergo, some depreciation. Ergo had very much lower capital spend this year with our focus for the Far West on the short term. There's that line that I'll refer to. So in the Sibanye transaction, ZAR 360 million worth of investment trust funds or rehabilitation funds added to our balance sheet as part of that transaction that increased at year-on-year quite significantly. Small deferred tax asset. Cash, I will talk to on the cash flow statement in the next slides and other current assets stable year-on-year, with obviously Far West added and their operation. On the equity side, it's under ZAR 2.7 billion. Just to remind you that our market cap at 30 June, which the net equity essentially reflects, almost ZAR 3 billion. And where we are now, just over ZAR 4.5 billion. So yes, a really, really positive equity position for us. Provision for environmental rehab also ZAR 247 million of rehab liability support as part of the asset and liability acquisition from Far West and some of that reduction, as I've mentioned, in the Ergo liability. But also in Far West, the way that we look at those liabilities and the way that we manage them. Increase in deferred tax liability, as I mentioned, mainly relates to the Ergo increase and the effective tax rate. Other noncurrent liabilities. All employee benefits related to our long-term incentive scheme is a phantom scheme. So again, I want to at least pause and again remind you that there's no debt. So no external debt. Niël alluded to it, no borrowings. We have the revolving credit facility in place, but it's undrawn at the moment. So ZAR 175 million available but undrawn, which is a really, really happy place to be at this point in time. And then current liabilities. Obviously, Far West Gold Recovery comes in there. Current ratio is slightly lower. But as I said, we have access to that ZAR 175 million facility. So I'm not worried at all about that position and still a healthy current ratio. So when I look at this, and I don't know if you would agree of me or not, but this very much looks like a launch pad to me, maybe even a rocket launch pad, maybe even a launch pad for the roar report rocket to fly again and even further this time. And why I say that, I believe what will enable that launch for us, and with this balance sheet in mind, I just want you to think about these couple of things that I will mention. Firstly, low gearing. At the moment actually, 0 gearing, which leaves you with many, many opportunities. Second one, proven technologies. And as you've seen with Ergo, a track record of resilience. We've seen over the years, there's nothing that we can't overcome, what those assets reflected in property, plant and equipment. And taking those technologies and systems and going implementing that successfully at the Far West. Three, in that balance as well, established pipeline and infrastructure now East and West with wonderful growth prospects from that. The fourth one and a really important aspect that I've already touched on and Niël will expand on in the slides to follow. A substantial contribution to environment and societal needs through rehabilitation of land integrated into the core strategy of our business. This is what we do. We take things that others have thrown away, and we add multiple layers of value, environment, society, employees, shareholders definitely, and also the SA economy as a whole. Five, exciting medium- and long-term prospects through diversification and innovation. I mentioned data points and sets of data that we haven't analyzed. I think we can do, and we are doing a lot more to say what does this tell us also for our future operation. And we won't stop in our relentless effort, as we call it, to crack the code, to keep on working at high yield through lowering our residue. So our work on that will continue. And in the last place effected in our equity, a strong anchor shareholder with clear economies of scale. So I just want to put that in context with the balance sheet. And actually, when you look at the balance sheet, that will create a different picture for you, and the way I see it, of a very, very exciting future. Okay. Then always the short-term focus of our business is -- and I think the cash flow statement, again, is evidence of that, of our focus to generate cash and to pay dividends, as Niël has alluded to the 12th consecutive financial year that we are able to do that. Strong operating cash, cash generated by operations. Again, resilient Ergo adding some nice recent cash also from the Far West operation. As I mentioned, quite a bit smaller interest received in paid numbers if you look at the cash component of that, but very strong net cash inflow from operating activities. Then our big focus for the last year, the acquisition of property, plant and equipment mainly relating to Far West Gold Recoveries Phase 1 and, again, evidence that we'll keep on taking -- but maybe in companies, one of the few that will do that, taking environmental liabilities as we go along as we continue to spend money there. And there's the ZAR 55 million that I alluded to as funds received from the cell captive, again, showing the effect of managing our liabilities responsibly. Niël alluded to that, but we are so proud of that, the fact that we could raise or borrow money and repay all in the same financial year, which leaves us with a position of OP only slightly decreasing our year-on-year cash and cash equivalents balance and, as Niël said, enabled us out of that cash position and subsequent balance sheet cash position from a liquidity point of view to declare a dividend of ZAR 0.20 per share. So now I hand you back to Niël. Thanks, Niël.
Niël Pretorius: Thank you very much, Riaan. I think sustainable development is a topic which we never fail to emphasize for its strategic importance and informing our thinking, informing the deployment of capital and resources. If it doesn't deliver into our purpose, if it doesn't add broader value, then, ultimately, it's not worth doing. There are certain very distinct targets that we pursue in this regard, both in terms of the national agenda and also in terms of our own. And here you could see that on the transformation and human capital side, very significant inroads are being made, and we are seeing positive trends to most, if not all, of these. I think one aspect, one particular little bit of maybe anecdotal news that we can share is that we've had this program in schools, 7 schools in our areas of influence, where we offer classes in and maths and science and accountancy. And this year, we have, for the first time, 2 first-year B Com students that are doing well, that are receiving bursaries from our company. And these are students that took advantage of the maths and accounting extra classes that we offer at these schools. So that's the next-generation thing, and just imagine how nice it would be if some of those candidates ultimately also end up finding themselves in positions of influence within our organization. A lot of these sustainable development initiatives on the societal investment initiatives and so forth are pitched as they should be at just one level above abject poverty. And that's good because you want to bring about additional security stability, an opposite momentum away from anarchy in these communities. And you do that by injecting value into that community. But also imagine if there are several layers up of empowerment and self-empowerment and development that don't just address the abject poverty aspect, but that forms part of, let's call it, the sophisticated economy and candidates coming through that. And that's really ultimately also the objective, being part -- an important part of that objective. On the natural capital aspect, Riaan made the point, and I think it's a point that we probably don't emphasize on, that what we do is treat waste. Johannesburg was a farm before we started mining here. The mine didn't come to the city. The city came to the mine. And by the time that little community started settling and townships started developing, and people were moved around as part of a larger political agenda and people that were being performed accommodated in areas as part of a larger social challenge of influx of people, I saw that settling there where the mines have established a footprint. And not all of that is pretty. It's not a particularly pretty footprint, 1.62 billion tons of material scattered all over the Johannesburg landscape, telling the story of the mining of gold over more than a century. So you cannot be part of the mining of gold in Johannesburg today without also becoming deeply involved in the environmental impacts of that. So I think something that makes us very excited is the fact that while generating these financial results and delivering into our primary stakeholders' requirements and expectations, legitimate expectations of a yield on capital, there's also this fixing of the scar tissue in and around the Johannesburg area, and that you could see 135 hectares of land of this year was cleared and can now come back into society for develop, for habitation, for light industrial and so forth. Blended was spoiled by mining, which is company through its efforts, have restored, whilst pursuing a commercial objective. Now the standards in terms of environmental containment have had to change because of the influx of people closer to mining infrastructure. And there's a big campaign out there. As the antagonist. They're very hostile towards mining, disruptive of some of the initiatives that we're driving at this stage of the mines, making people sit. I reemphasize the fact is people came to the mines. The mines didn't go to the people. But as a consequence of this influx of people, we can't just go say, not our problem, sit back and wash our hands of this problem. We're in a position to do something about it and do it in such a way that doesn't impact on the legitimate commercial expectation of our shareholders. So in order to make life more bearable in these areas, which, invariably, are also poverty-stricken areas, it's important that we contain both dust emissions and water coming off our infrastructure. And this year, we vegetated 55.5 hectares of additional vegetation on our tailings dams. And if you compare dust missions of tailings dams around Crown Complex, next -- near Nasrec and also increasingly out towards the east, towards Ergo, you'll see that the dust emissions are chalk and cheese. What was once an unbearable area has now become an area, where, increasingly, you're hardly noticing that there's a tailings dam, but for the fact that there's a nice green patch against the horizon. Now that's testimony of the efforts of 10, 12 years of dedication of fixing that, of budgeting towards and working proactively towards that. And this year, again, ZAR 44.1 million was spent on rehabilitation. A very important aspect of managing this business sustainably is improving the burden that we place on natural resources. And this fantasy -- this idea that water on the Earth is in a closed loop, that water evaporates and that it finds its way or it flows into the ocean, it evaporates and finds its way back onto the Earth, that's not the case. The number of -- the amount of available water is reducing every year. Some of that's getting -- some of it's getting lost in this big circuit. And if we don't look after it properly, I think we're going to run out of water the way that Cape Town almost did a few months ago. And for many, many years, we've been deliberately focusing on infrastructure and strategies on reducing our reliance on portable water and extending our reach into gray water. And that is certainly now paying off, not only in having water available, so that we don't have an interruption in production, but also paying less for water in the sense that gray water costs us less, whilst, at the same time, not competing with other users of potable water, which is used for drinking and washing and, et cetera. And that is playing -- that's playing a big role also in terms of the bottom line. And as consequently, we're seeing a very nice flow-through results in the balance sheet this year on a very significant saving going forward in environmental costs. These things don't happen by accident. These aren't things that happen almost randomly. They're part of a strategy that's several years in the making while trying to overlap value creation on several different levels. Now the sustainable development aspect we cannot overemphasize. Simple fact of the matter is that not only because of such economic conditions in South Africa, but, globally, with the emergence of the so-called fourth technology revolution or industrial revolution, call it what you want, and the fact that machines are increasingly starting to take our positions previously held by people, the reality of our situation is that social grants and people will never work going forward as a global phenomenon is something that's going to be with us for many, many years. And as a consequence, it's important that we very deliberately work towards creating almost an alternative parallel informal economy. Where instead of money finding its way into the pockets of mostly regrettably foreign shop Holders and not staying behind in communities, money that is being invested into these communities, invested by way of social grants on a monthly basis, that money doesn't find its way into those communities. There's no stickiness to that money. It doesn't revolve. There's no buildup of capital in those communities. It's find its way into the pockets of people from the outside. We have set up almost like PIP stores, but on a much smaller scale, a catch net for social grant money. It's catching that money and it's shipping it out. It's money that doesn't stay behind. And we need to very deliberately start working on creating these alternative economies of empowering people with the right sort of knowledge, so that they can take that money, put it back in that society and almost start a new economy. So if every rand paid in terms of social grant money gets spent just another 2 times in that same community, then it means that next month, the size of that little economy is going to be the new capital coming in, in terms of social grants, plus build capital that's being spent to us as 3 times the size of the economy. And that's how, ultimately, people will start getting out of this loop, the cycle of abject poverty, and where they can coexist in the new environment of a technologically-driven society. If we don't do that, then what happened yesterday in Johannesburg, is increasingly going to become part of our reality. The farm motor phenomena has found its way into the cities people, and we need to step up. We need to do something about it. It's too much just for government to do it. We need to get involved, change the lives of individuals. The Audi has spent ZAR 16.6 million on just that in the last year. We're very serious about the future of South Africa. And we won't be spending our shareholders' capital on projects going forward if we also have don't, at the same time, do something about instability and poverty and hopelessness. All right. So looking ahead, clearly, we want to make sure that we take full advantage of the capital that we've invested into infrastructure, take full advantage of the systems that we've put in place. Every year, we understand the working of our plants a little bit better than the previous year. Every year, there are fewer operational surprises and our plants than the previous year, which enables us to be just a little bit better prepared for the ever-increasing number of challenges that we face from the outside of disruptions from the outside. And this is an ongoing thing, and it will never stop. It will never stop. Our objective is to take all of the gold that we put into the plant, into the smelt house and smelt it. At this stage, we're sort of halfway there. We've got a long way to go, but we are very committed to doing that. And this year, we'll be throwing some real money at that. And it's become a very important performance indicator for ourselves and for our operating staff. We want to see the benefits of the first phase starting to flow through, using some of that to start planning towards just exactly what the second phase is going to look like. The objective still is, for us, to build the second phase. And there are 4 options that are different iterations really of the same thing, but this is something that is more than just a maybe. This is something that is actually within our price. But we'll approach it exactly the way that we've approached every single other project in our organization and make sure that we don't bite off more than what we can chew. We don't really like debt, but, at some stage, you have to take debt just for that short period of time. We don't really like hedging. When people start complaining about the gold price going down, we're saying, "Well, maybe that's a buying opportunity." And there are people out here that actually take advantage of that because they know that these things work in cycles. And we don't want to start manipulating that. We run the business. The investors can run the investment. And there are certain things that we stay away from and other things that we think we're capable of dealing with. So those are certainly the things that we'll be looking at going forward, but I do have to also reflect just a little bit on our relationship with our major shareholder, with Sibanye-Stillwater. It was very important to us this year to make sure that we execute effectively because this was a good asset. And the Sibanye team is aware of the fact that this was a good asset, and I think they had certain expectations as to how this asset was going to be developed. And I'm hoping that when we hand over this dividend check to Mr. Froneman, that, that will almost be symbolic proof that at least the first few steps that we've taken into developing this asset were good steps, responsible, well thought-through and deliberate. Now there are a lot of assets within the Sibanye-Stillwater stable, that, at this stage, are invisible simply because of the size of what they do. As one of my colleague's comment the other day, they don't play in shallow water. They run a very large company. But we're perfectly positioned to almost as a pilot-fresh or flying in their slipstream to start picking these things up and identifying it. Because in our portfolio, in our universe, they do become visible. This year, our market cap went from less than ZAR 2 billion to more than ZAR 5 billion. It was helped by the gold price, firstly helped by the gold price. But the gold price can be whatever it is. If you're not positioned to take advantage of that, it's absolutely meaningless. And this year, we are in a position to take advantage of that. So hopefully, going forward, we can leverage this relationship with Sibanye-Stillwater, which is to support a healthy relationship at this stage, and which we believe will stay as supportive of a healthy relationship provided that we deliver. So it's not an emotional relationship, it's a commercial relationship. If we do well, there will be reward. If we don't do well, there will also be a reward, but it's not the sort of the reward that you look forward to simple. It's as simple as that. Generate value, and there will be opportunity. Do the opposite, and you'll be held to account. But there's a big footprint out there, much bigger than what we currently have and around management and control. And we're hungry. We're very keen to get there. Our business is, for the last 10, 12 years, repositioned. We had to retract, cut certain things off, reposition ourselves with regard to risk, et cetera, et cetera. It's the equivalent of counterpunching. And we developed a mean counterpunch, and we overcome some really, really challenging obstacles. But now we're on the front foot. Now we're leading with a jab. Now it's time that we start dominating, and I think we've positioned ourselves to do that. And we have the right partner for that, and I think they will want to give us That opportunity provided we continue to behave responsibly and to act with due diligence. So that really is the story for the year. And it's really -- ladies and gentlemen, it's chapter 1. Welcome to chapter 1 of the 120, 130 odd years, is it? Yes right about the 130-odd years. Welcome to paragraph 1.1. Thanks. Thanks very much. We'll take questions.
Q - Arnold Van Graan: It's Arnold Van Graan from Nedbank. Two questions from my side. So the first one is Ergo volume. It's gone from just over 12 million tons to just over 11 million tons. And there's obvious issues that you faced, but is that the new normal, given the challenges of Eskom and all the other challenges you talk about, criminality and there's many others? Or will you be able to get back to that ZAR 12 million-plus run rate? So that's the first one. And the second one, sort of continuing Eskom angle is, what is the long -- what is your long-term solution for Eskom? And that essentially also goes into Phase 2 of your bigger project in West. Is there a solution or is there a solution that Eskom needs to be fixed? Or can you bring in an alternative? And can those ore body sustain that? In other words, can you pay for the capital of putting in an IPP project and still make a decent return?
Niël Pretorius: Yes. Now those are good questions. I think Eskom for the -- not just for the industry but for the economy, is still the biggest systemic risk that we face in the long term. If there's no Eskom, there's no South African economy. That's our simple reality. There are other issues that we need to deal with, so society issues and so forth. But for the long term, I think Eskom and South Africa, whether or not there's a future, those things are -- those are words that belong in the same sentence. Let me deal with your first question first, though, Arnold. So this year, I think there were 3 key issues that informed volume throughput that were internal issues. So there was weather, and there was Eskom, but there were also 3 key issues, which we had to address in order to restore volume throughput to where it was, and it's back to where it was or certainly trending to where it was. And then these were simply 2 sites where the -- where gravity simply just caught up with us. So obviously, everything that we mine is washed by way of these hydro jets into channels, and that then flows into a sump. And from the sump, then it gets pumped to the plant. And there were 2 sites this year where the angle where we were mining and where we were pumping with that angle, that simply just became a little bit too flat. And on the one side, we had to stockpile material with -- mechanically with dosing, et cetera, et cetera. And on the other side, we simply had to open up a new channel from the reclamation area into where the sump area was. So -- and this is a long way of explaining to you that these aren't systemic. These were 2 incidents. These were 2 events that we had to overcome, and we since have. Ergo is a complex circuit at this stage. We are mining from several sites. And as I explained earlier, we don't oversupplement from sites running well to make up for lost tonnages at sites where we are running short. So I suppose we could have closed that gap at -- instead of the 11, it could have been an 11.5 million tons and only a 500 million shortfall on where we are targeting because we're targeting 12 million per -- for every 6 months, but we didn't. Because if you do, then at some point or another, your availability just becomes distorted. We do not, in our budgeting process, and I'm not going to use the word, budget, I will rather -- we do use the word, planning, we do not, in our planning, factor in a drop of volume based on internal circumstances. We are aware of the fact that there are external conditions that we need to be cognizant of like interruptions in power supply, both because of Eskom and also because of just disruption of power lines, et cetera, et cetera, especially in the city areas. And as a consequence, we take informed decisions as to how we can offset this risk. I do not believe that there's a sustainable model at this stage in terms of which you've completely replaced Eskom, so I'm moving on to your next question. I do not think that as within the means of a company of our size to completely replace Eskom, but what one can do to is start -- excuse me, taking advantage of available structures and also available technologies to start offsetting that risk and minimizing that risk. And typically, how you go about doing that is to start playing around with peak hour supply and off-peak hour power supply and so forth and just -- and focusing on using more power during off-peak and less power during peak, which obviously means that you need to find storage for your power. You need to not just draw power during off-peak and maybe start moving your operating cycles around a little bit and your rhythm and your process around a little bit, but you also need to draw power during off-peak in order to channel that into your storage capacity. So it's a combination of changing your system to an extent and also investing in power storage. And there is a model that's sustainable and that works in that regard. Not all-encompassing, but, to a large extent, it goes a very, very long way in initially paying for itself just on a purely economic basis, just on a valuation basis. What we don't take into account just yet, because the storage capacity would also act like backup power almost, so we don't take into account for purposes of deciding whether we should be pursuing that model. The -- let's call it, the lost hours that you'll avoid because you'll have uninterrupted power supply. And then, of course, you could introduce solar into that as well to also take advantage of your daylight hours, your sunshine hours to also channel power into your battery system. But that is very much a key focus area at this stage, is how to manage that risk. But I have to be very specific, we're not looking at replacing it. I mean, if Eskom goes, South Africa goes. That's a simple reality. If Eskom is not fixed, we're going to be either not working and living here or not living here and working. But there's no economic future for South Africa in the event of a complete collapse of Eskom and nothing stepping in its place. And I think we're starting to hear, much to the consternation of organized labor or certain parts of organized labor, we're starting to hear the right noises of where evidence-based solutions are now being put forward by our government, our president and his officials on how we need to restructure this. And I think that's a good conversation that we're having. It's moving us in the right direction. And it's a conversation that we're going to have to support, so that we can find a solution for Eskom. The risk associated with Eskom, most definitely, we're working on ways and means of dealing with that, both from a cost-saving perspective and also from a business interruption perspective. Did that answer your question? Of course, these solutions are being offered as a plug-in solution by external parties. We won't go and borrow money to put our battery farms.
Riaan Davel: Niël, there's just 2 questions of -- from the webcast from [indiscernible]. Would you get you either view on the gold price and exchange rates for the next 12 months? If I can maybe just lead to this -- certainly we take a view on the gold price. We do various planning scenarios. And then, yes, we use forecasts -- economic forecasts at a point in time. So end of the year, maybe just we look at a -- at an average median forecasted price of just below ZAR 630,000. Beginning of August, that price would have probably -- from a forecast point of view, would have gone up to like ZAR 650,000. If you do it now, it might even be higher. But as Niël said, we don't take positions at the moment, take 3. So we, yes, move the price where it is. That's a -- it's a very good position for us.
Niël Pretorius: If I could maybe add to that story.
Riaan Davel: Please.
Niël Pretorius: I think it's important that we distinguish between something that is driven by sentiment and something that's being supported by substance. And I think we can all find evidence that the gold price where it currently is, is very much supported by substance, the reasons why the gold price is why -- where it ought to be. But that doesn't necessarily mean that it is where it's at the moment because of substance. It might be there because of sentiment. So we can find evidence that it should be here and maybe even higher, but the market might just be acting on impulse. The market might be acting on amount of reasons. And I think that there is a new generation of investors who came in after 2008, who are used to cheap money, and where the stock exchange and investing on the stock exchange was like throwing at a dartboard was just -- yet consisted only of the bull. And there's an oversimplification, but I think that the market was very rewarding on a broad base over the last, I don't know, how many years when capital was just so cheap. And maybe that the skill of really understanding and analyzing and appreciating how everything's connected and how everything interacts with everything else globally, currency, energy, gold, investor fear, inflation, oversupply here and the supply there, et cetera, et cetera, I don't know how much of that is left in the post-2008 era. There's some of the old-timers who just called it, and they are quitting at the moment because they came in at the right time. If I say old-timer, I -- they're people sort of my age and older. But there's some these young geniuses that don't really understand the market. The market's been overly kind to them, and I think they lost. And the market with that amount of confusion sentiment, not withstanding the fact that substance is supportive of where it currently is. But sentiment could be dangerous, and that sentiment can change overnight. That can change very, really quickly. So I think it's important to be very cautious of planning on the basis of where the gold price is now. I think it's probably much higher than where it could be once sentiment changes. It's much lower when -- where it should be based on fundamentals. I'm a gold miner, so I need to believe in that, but it's probably much higher than where it could be if sentiment changes. And it can change overnight. One funny tweet from the Mr. Trump or, and you don't know maybe it's all the way back to 650, 620, and we need to be ready for that. So we will remain conservative. And hey, that's where the buying opportunity in the Audi Gold Stock comes in.
Riaan Davel: Thanks, Niël. Then a second question from [Paul Schouten]. Far West made an operating profit of ZAR 99.8 million for the quarter. Would it be reasonable to expect this kind of number each quarter at an average gold price of ZAR 577,000 for the quarter? In other words, before any increase to the current price of approximately ZAR 750,000? Again, I will just start, Paul. Yes, so that quarter gives an indication of what Far West is capable of definitely. Just remember, the ZAR 577,000 is the price -- average price for the year. The quarter price was probably closer to ZAR 600,000, just over. So yes, you can definitely run sensitivities based on that quarter as a base, yes.
Niël Pretorius: Good. All right. Thank you, everybody. Thank you once again for showing up and sharing just a few minutes with us. Is there nothing else? Okay. So we're going be hanging around for a while. Food is for free. And today, it really is for free, so please help yourselves. And let's not go home before we've eaten all those sandwiches. And the team will be here to answer your questions. Thanks.